Operator: Welcome to the Corporate Office Properties Trust second quarter 2008 earnings conference call. As a reminder, today's call is being recorded. At this time, I will turn the call over to Mary Ellen Fowler, the company's Vice President and Treasurer. Ms. Fowler, please go ahead.
Mary Ellen Fowler: Thank you and good morning, everyone. Today we'll be discussing our second quarter 2008 results. With me today are Rand Griffin, our CEO; Roger Waesche, our COO; and Steve Riffee, our CFO. As they review the results of the second quarter the management team will be referring to our quarterly supplemental information package. You can access our supplemental package as well as our press release on the Investor Relation section of our website at www.copt.com. Within the supplemental package you'll find a reconciliation of GAAP financial measures to non-GAAP measures referenced throughout this call. Also under the Investor Relation section of our Web site you will find a reconciliation of our annual 2008 guidance. At the conclusion of this discussion the call will be opened up for your questions. Before we begin, I must remind all of you that certain statements made during this call regarding anticipated operating results and future events are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although such statements and projections are based upon what we believe to be reasonable assumptions actual results may differ from those projected. These factors that could cause actual results to differ materially include without limitation, the ability to renew or release space under favorable terms, regulatory changes, changes in the economy, the successful and timely completion of acquisitions and development projects, changes in interest rates and other risks associated with the commercial real estate business as detailed in our filings from time to time with the Securities and Exchange Commission. Please note the company assumes no obligation to update any forward-looking statements. Now, I would like to turn the call over to Rand.
Rand Griffin: Thanks Mary Ellen and good morning everyone. We are pleased to report a strong second quarter for the company achieving FFO of $0.61 per diluted share which hits the top end of our guidance. Total FFO for this quarter grew by 7% on a diluted per share basis over the second quarter of last year. We are comfortable with our performance for the quarter and believe we are on track to deliver a strong 8% to 11% FFO per diluted share growth for the year. We believe our strategy and customer relationships allow us to be able to deliver this level of growth despite an increasingly difficult economic environment. Similar to last quarter the top two questions on investors’ minds are capital availability and development leasing. We’ve addressed our capital needs through a number of financings. Let me go through those in detail. Starting last fall, we’ve increased our unsecured revolver to $600 million and revised the covenants to provide more (inaudible). In early May, we closed on a $225 million construction revolver expecting to increase to $325 million that will fund our wholly owned construction and development pipeline for both 2008 and 2009. Then subsequent to quarter end, we closed on a $221 million permanent loan that will refinance the balance of our permanent debt maturing this year as well as pay down our revolver. And Steve will provide details of these financings in a moment. As a result of these financing activities, we have taken care of our capital requirements for 2008. With regard to the second question, development leasing, we made excellent progress during the quarter signing leases for 369,000 square feet of development space. Included in this total are two leases each over 100,000 square feet for full building users. We’ll provide more specifics on these large leases in a few minutes. Subsequent to quarter end, we signed an additional 62,000 square feet in two leases both over 25,000 square feet bring our development leasing to over 430,000 square feet since last quarter. We continue to see strong demand from our core tenants and in our core parks where a majority of our new construction is located. As a result, we feel good about our pace of development leasing and believe we are on target for our buildings under construction and ahead of schedule for buildings under development. We’ve also heard some questions from our investors recently regarding the impact of the presidential election on our company. We believe that regardless of the political party that wins we will continue to see demand for space from our strong tenant base. Our defense tenants are not producing ships or tanks, but rather are involved with communications and technology that support the government’s war on terrorism. These activities have not slowed down and we believe will be accelerated if more money becomes available as a result of shifting expenditures from Iraq. With regards to BRAC, we are pleased to see earlier than anticipated discussions for space at both Aberdeen Proving Ground and Fort Meade. We have two leases under discussion for our Northgate project adjacent to Aberdeen Proving Ground and one lease at NBP. The land control we’ve assembled at these two locations will be very important to furthering our strategy of growing government, defense IT and data sectors. Turning to our strategy, we continue to work to differentiate our company as a specialty office REIT focused on meeting the needs of government, defense IT and data sector tenants as opposed to a mostly market-driven suburban office REIT. As a result of our plan to further differentiate we’ve set goals to grow our revenue from our core tenant base and core locations over the next three years. Our core tenant base includes the government, defense IT and data sectors and our core locations are business parks adjacent to government demand drivers are [ph] in growth quarters. Typically, we are the dominant owner in these parks and have land capacity to expand our market share. For the six months ending June 30, our assets containing tenants within these sectors generated 53% of our total real estate revenues. Our goal is to grow this percentage to 65% by the end of 2010. Similarly, the real estate revenue stream from assets containing these three tenant sectors plus our core business parks was 79% of our total real estate revenues, and we planned to grow this to 85% by the end of 2010. The remaining 21% of the real estate revenue today is comprised of both strong real estate opportunistic projects and non-core holdings. Our plan is to shrink this category to 15% by the end of 2010. By achieving these goals, COPT will further strengthen its revenue stream and continue to differentiate itself from the suburban office sector. With a focused commitment to our core activities, this strategy should produce continued growth and a higher quality of earnings. In summary, we are pleased with our results for the first half of the year and believe we are on pace with our plan for the year. And with that I will turn the call over to Roger.
Roger Waesche: Thanks, Rand. Turning to our portfolio at June 30, our wholly-owned portfolio ended the quarter at 93.4% occupied and 94.2% leased. Both percentages are higher than last quarter and one year ago. As you may have noted, we did lose some occupancy in our Colorado Springs portfolio as Northrop Grumman relocated from 30,000 square feet in Patriot Park 1 consolidating into their new building at Colorado Springs Airport Park, which we then purchased in late June. We have made good progress backfilling the Northrop space signing 15,000 square feet to date. With regard to Baltimore County, we have improved occupancy from 83.8% last quarter to 85.5% or 170 basis points at June 30, and leasing is up from 86.6% to 87.2%. For the six months ended June 30, for our suburban Baltimore County portfolio, we have about a 67% renewal rate. With regard to our renewals overall, we believe it is important to focus on the year-to-date leasing statistics as the first quarter included 720,000 square feet of leasing and the second quarter had only 275,000 square feet of leasing. For the six months ending June 30, we renewed 781,000 square feet or 76% of our expiring leases with an average capital cost for $4.58 per square foot. For our renewed space, total rent increased 10.1% on a GAAP basis and 4% on a cash basis. For our renewed and re-tenanted space of 995,000 square feet, total rent increased 7.2% on a GAAP basis and 1.5% on a cash basis. The average capital cost for renewed and re-tenanted space for the six months totaled $7.75 per square foot. For the quarter, we renewed a 193,000 square feet or 60.4% of our expiring leases at a average capital cost of $7.06. As of June 30, our lease expirations for the balance of 2008 equate to 5.3% of our total annualized revenue down from 11.2% at the beginning of the year. Our lease expirations for 2009 equate to 15.4% of our revenue. Of this amount, 3% of the revenue is derived from our Unisys Campus in Blue Bell, Pennsylvania. As you may recall, the Unisys Campus comprises three buildings totaling 960,000 square feet all leased to Unisys. The leases mature June 30, 2009. The campus generates approximately $10.2 million of annualized NOI. Unisys did not (inaudible) to exercise its option to renew the leases. One of the buildings totaling 220,000 square feet has been subleased by Unisys to Merck for many years. We have been negotiating with Merck and believe we will have a lease signed this quarter for their building. The second building of approximately 208,000 square feet has been vacated by Unisys and we are planning core and shell renovation work in early 2009. We are actively marketing the building with some activity for full building users. The third building totaling 530,000 square feet has two parts – the executive building of 114,000 square feet and a single-storey building totaling 416,000 square feet. We are currently negotiating with Unisys to remain in the executive building. The outcome of these negotiations should be finalized this quarter. We are also designing the park for additional FAR of about 500,000 to 600,000 square feet. We will keep you updated as we make progress over the next year. We continue to see fairly good, but uneven demand for space. As Rand will detail, we have had good demand for much of our development space which continues today. In our existing portfolio, certain submarkets are stronger, such as Columbia and (inaudible) than others such as the BWI Airport. We’ve experienced some, but not significant pressure on rental rate compression, free rent or TI packages. It is more deal-specific than market specific. With regards to tenant credit, we have minimal exposure to the financial sector. We manage the business to portfolio and transaction cash flow with the view to the company’s overall lease maturity schedule, risks and opportunities inside the portfolio. We expect to deliver good overall 2008 leasing statistics. Turning to our markets, with regard to the BWI submarket as of June 30 within the total market of 6.6 million square feet, vacancy including sublease stood at 14.2% up slightly from 14.1% one year ago, and up from 12.4% in the first quarter 2008. Our BWI portfolio totaling $4.6 million square feet and representing 70% of the submarket was 92% leased at June 30. Turning next to the Columbia submarket in Howard County, at June 30, vacancy with sublease was 13.9% down from 14.2% one year ago, and up slightly from 12.7% in the first quarter 2008. Our properties in the Columbia submarket total 3.1 million square feet and are currently 95% leased. Within COPT's Northern Virginia submarkets, the direct vacancy rate was up to 14.1% versus 9.4% one year ago and 13.9% last quarter. Quarterly absorption was a positive 864,000 square feet versus a negative 198,000 square feet last quarter. Our portfolio of 2.5 million square feet is 99.3% leased at June 30. Looking just at the Dulles South submarket in Northern Virginia, the direct vacancy rate ended the second quarter at 18.3% were flat with the first quarter. Within the Dulles South submarket, there was approximately 95,000 square feet added to the market as of June 30, down from the approximately 1 million square feet added in first quarter 2008. Our operating portfolio of 9 buildings totaling 1.5 million square feet is 99.6% leased. Within the Colorado Spring submarket, there is demand for new construction and leasing activity continues to increase and is ahead of last year. Office vacancies were up in the second quarter to 10.8% compared to 7.5% one year ago. Our properties in the Colorado Spring submarket total 1.1 million square feet and are currently 95.3% leased. Turning to acquisitions, we closed on three buildings, two located in San Antonio and one in Colorado Springs for a total of $40.5 million. In Colorado Springs, we purchased a 124,000 square foot building located in the Colorado Springs Airport Park, known as Cresterra that is adjacent to Peterson Air Force Base. As you may recall, COPT was chosen to be the master developer for all future development in this park. This is the first building in the park and is fully leased and Northrop Grumman has their Colorado Springs headquarters. We believe this is a strategy acquisition for us, since Northrop Grumman is our second largest tenant. COPT will control the balance of the land to be developed at Cresterra with this building being located at the entrance to the park and we have the opportunity to build two additional buildings on their site. We also purchased two buildings totaling a 123,000 square feet in San Antonio for $17.3 million that are located in close proximity to our core tenant driven location. The buildings are currently leased to Sears, Air Force Federal Credit Union and AFNI. The site can support an additional 120,000 square feet. Our core tenant in San Antonio continues to expand and need additional space and will be absorbing for their use the majority of the land we originally identified for defense contractors. As a result, we have been looking at locations in close proximity to our site that can support future demand from defense contractors. In that regard, subsequent to quarter end, we purchased 31 acres of land adjacent to our main location in San Antonio that we need to support office demand from the defense contractors. With regard to dispositions during the quarter, we sold two small non-core buildings totaling 80,000 square feet for $8.3 million. And with that I will turn the call over to Steve.
Steve Riffee: Thanks, Roger. Turning to our results. Diluted FFO for the second quarter of 2008 totaled $34. 2 million or $0.61 per diluted share. In the second quarter of 2007, we reported delivered FFO of $31.8 million or $0.57 per diluted share representing a 7% increase on a per share basis. Second quarter FFO results of $0.61 per diluted share exceeded the top end of our guidance by $0.01 per share primarily due to lower than projected short-term interest rates, partially offset by lower than expected lease termination fees, and slightly higher G&A cost. And the contributions from development placement service were on target for the quarter. We reported net income available to common shareholders for the second quarter of $8.8 million or $0.18 per diluted share compared to $3.9 million or $0.08 per diluted share for the second quarter of 2007. Turning to AFFO, after adjusting for capital expenditures and the straight lining of rents, our adjusted funds from operations of $25.1 million represents an increase of 16.4% from the $21.6 million in the second quarter of 2007. This AFFO growth reflects continued strong cash flows, good renewal economics and well controlled capital expenditures and operating expenses. Our payout ratios also remained strong. Our diluted FFO payout ratio was 55.5% for the second quarter as compared to the 54% diluted FFO payout ratio for the comparable 2007 quarter. The diluted AFFO payout ratio was a strong 75.4% in the second quarter 2008 compared to 79.5% in the second quarter of 2007. Looking at our same office cash NOI for the second quarter of 2008, for the 217 properties or 92.4% of the consolidated portfolio square footage, same office cash NOI increased by 3.1% excluding the effect of an $863,000 reduction in lease termination fees. Including the effects of the lower lease termination fees, same office property cash NOI increased by 1.5% for the quarter. Turning to the balance sheet. At June 30, the company had a total market cap of $4 billion with $1.9 billion of debt outstanding which equates to a debt to market cap ratio of 47.1%. Our weighted average cost of debt for the second quarter was 5.1% down from 5.9% a year ago. 74% of our total debt was at fixed rates. Our coverage ratios remain strong. Our second quarter EBITDA to interest expense coverage ratio was 3.1 times and a fixed charge coverage ratio was 2.55 times. With regard to our debt, as we mentioned on our last call, we closed a $225 million revolving construction facility that will be used to fund our wholly owned development pipeline. The facility provides for funding of 85% of the construction cost on top of our 15% equity which is provided by our land and our predevelopment costs. The term of the facilities is three years with a one year extension option, and we have an opportunity to increase the facility from $225 million to $325 million at a future date. Repayment terms are interest only and the interest spread starts at 160 basis points over LIBOR and is depended on the company's overall leverage. Subsequent to quarter end, we closed a $221.4 million four-year secured term loan requiring interest only payments for the term at LIBOR plus 225 basis points. We have an option to extend the term by an additional year. We used approximately $64 million of the proceeds to repay construction loans that were maturing in 2008, $12 million to repay borrowings under our construction revolver and most of the balance to repay borrowings under our revolving credit facility. Summarized, for our debt maturing in 2008, we have repaid $140 million, extended $41 million of debt for one year and the remaining $102 million will be repaid using the line capacity created by the new term loan proceeds. With these loan transactions we have addressed our major financing needs for the year, which is a key issue for most REITs in this credit environment. And at this point, we still do not anticipate a need to raise equity through the balance of 2008. With respect to our guidance FFO per diluted share guidance for 2008, although there have been a few changes in our underlying assumptions, we are tightening both ends of the ring by $0.01 per share to a range of $2.42 to $2.48 of FFO per diluted share which represents an 8% to 11% year-over-year FFO growth. Favorable changes in our assumptions since our last call principally relate to the contributions from acquisitions net of interest of approximately $1 million, and given the current short-term interest environment another slight reduction in our assumed [ph] interest expense. These changes are partially offset by a further reduction in estimated lease termination fees, which was originally forecasted to contribute approximately $4 million, and now is estimated to contribute only $3 million [ph] for the year and slightly higher G&A expenses for the year, which we now project will run approximately $6 million per quarter for the balance of the year. Development placed into service during 2008 is still expected to contribute approximately $4 million in 2008. And for the year, we now expect to exceed our 70% lease renewal rate in our original guidance. We planned to address our 2009 FFO guidance on our next call. And as a reminder, our Board typically considers a dividend rise at the September Board meeting. And with that I’ll turn the call back over to Rand.
Rand Griffin: Thank you, Steve. Turning to our construction pipeline at June 30, we had 11 buildings under construction for $241 million. The changes for the quarter include adding two buildings totaling 235,000 square feet from development into construction with no leasing and placing into service two buildings totaling 148,000 square feet that were 70% leased. Even with these changes, we were 26.8% leased at the end of the quarter. Subsequent to the end of the quarter we leased 62,000 square feet in two buildings that moved us to 32% leased currently and with leases in final stages of negotiation we will be 42% leased on our buildings under construction. With regard construction activity specifics, in Colorado Springs, since Patriot Park VI is fully leased to ITT, we have begun construction on our next building Patriot Park VII, a 90,000 square feet building that we expect will be primarily leased by ITT and their contractors as part of the FAA contract. We’ve also started construction of our first multi-storey building at InterQuest Park, a 146,000 square foot building, and subsequent to quarter end, signed a lease with Lockheed Martin for 34,000 square feet in this building. With regard to our Hybrid buildings at InterQuest, at Hybrid II, we signed a lease for 44,000 square feet or 81% of the building. So, we have a good leasing momentum and are very pleased with our progress in Colorado Springs so far this year. With regard to our buildings under construction within the BW quarter, we signed a 131,000 square foot leased with Integral Systems, Inc. for the entire building under construction at 6721 Columbia Gateway Drive adjacent to our headquarters. We’d like to provide a little color on how we were successful in winning this lease. As you may know, there are currently three other newly constructed buildings in the Columbia Gateway Business Park, all three of these buildings started construction before our building and are currently all vacant. Possibility to win this lease was a result of our existing relationship with Integral Systems in Colorado Springs and was further reinforced by our long-term ownership strategy, excellent customer service and quality of building construction, hardscape and campus design. Turning next to the National Business Park, we have under construction the next building for defense contractors at 300 NBP and are in advance discussions with the potential tenant looking at taking a significant portion of this building. This is the first BRAC related discussion with NBP. Turning to the University of Maryland Baltimore Campus, subsequent to quarter end we signed the first lease in our 106,000 square feet building at 5520 Research Park Drive for 28,000 square feet and have good leasing activity. At Arundel Preserve in which we have a 50% joint venture interest we are close to signing our first small lease in this newly completed building. However, we do expect a little slower leasing as this is the first building in a new mixed-use park. With regard to the University of Maryland at College Park or M Square project as we call it, at our first building under construction for 116,000 square feet, we signed a lease for 41,000 square feet or 36% of the building. Our second building at M Square is under development for 123,000 square feet and we signed a lease for the entire building during the quarter. In San Antonio, we have two small buildings for 90,000 square feet under construction to expand our existing campus for our major tenant in this region that should be completed by the fourth quarter of this year. We also have two buildings totaling 250,000 square feet in the development phase that will become the next expansion to this campus. Turning to the remaining buildings under the development pipeline. We have interest from several defense contractor tenants related to BRAC for a portion of the first two building at Northgate Business Park adjacent to Aberdeen Proving Ground. We also have good leasing activity for space in our first new building at White Marsh at 8130 Corporate Drive. With regards to our 1 million square feet of development that we intend to start this year, we have leased or a strong expression of interest for 65% of the space, and importantly 87% of our starts of [ph] the one building this year are for the government and defense IT sectors, thus reinforcing the continued strong demand we see from these core tenants. In summary, we are in good shape for the year. We’ve made great strides in our development leasing and have executed on our financing plan in a very difficult environment. So we continue to be on track for another year of strong FFO and AFFO growth. And with that we will open up the call for your questions. 
Operator: (Operator instructions) And your first question comes from the line of John Guinee. You may proceed. John, your line is open.
John Guinee – Stifel Nicolaus: Hello. Hi, how are you?
Rand Griffin: Hi, John.
John Guinee – Stifel Nicolaus: Hi, very nice quarter. A handful of quick questions. First, great articulation of the strategy out for 2010, sit down to 15% non-core. I guess, I would say, why still 15%?
Steve Riffee: I think John, that sort of a maximum. What we’ve tried to do is give assurance to our investors that we are staying very focused on our core and as we would approach 15% out into the future we would be there selling or joint venturing properties. So, I would expect it probably would be below 15%, but that’s sort of our maximum. 
John Guinee – Stifel Nicolaus: Okay. Second question. I was out at Fort Ritchie over the weekend. How much money you have invested there and what’s the plan?
Steve Riffee: We bought it for $5 million. As you know, we have a future commitment. We don’t produce 1,400 jobs in 9 years and we have another 4 million or if we can do that pro rata. And if you saw – I don’t know if you saw the – or subsequent to the purchase what we’ve been spending our time on is demoing the older barracks, cleaning up the site and we have under construction just about finished a community center that we did promise the community we would do it. So, about 50% funded by PenMar who needs to reinvest the money that we paid for the site back on to the site or back into the community. So, if you add the $5 million, we probably have 12 million to date and that includes the retrofits of some of the existing buildings where some of the lease have occurred to date. 
John Guinee – Stifel Nicolaus: Got you. And then the third question, I guess probably for Roger is can you walk through the Unisys redevelopment? It looks to me like you got 208,000 square feet vacant plus the most likely the single storey building for 416 looks to me like it maybe $13 or $14 a square foot for the office product now net, and $5 or $6 net for the single storey, but that’s just a guess. What kind of numbers can you get for those buildings on a net basis once you redevelop?
Roger Waesche: The multi-story building of 208,000 square feet has a net rent today of $14 per square foot that will rollout June 30, ’09. We think the market today is probably $18 net. We will have to spend some money to get there. The single-story product is leased today at a little over $10 a square foot net. We think that product is probably in the $16 to $17 net range build out as office which it largely is today, and again we will have to spend some money to get those rental rates. 
John Guinee – Stifel Nicolaus: Do you have to cut [ph] the space down to the shell or is it paint and carpet?
Roger Waesche: Now, we are going to do some core and shell renovation work in both cases in addition to TI and commissions.
John Guinee – Stifel Nicolaus: Great. All right, thank you.
Rand Griffin: Thank you.
Operator: Your next question comes from Irwin Guzman. You may proceed.
Irwin Guzman – Citi: Hi, it is Irwin Guzman with Citi. Good morning. Can you talk about the leasing that was done in suburban Baltimore and Baltimore/Washington corridor? Was there any sort of big one-time leases that drove the net effect of rents?
Roger Waesche: 
 :
Irwin Guzman – Citi: And then regarding the decrease in non-core exposure to 15%, I’m assuming there are some dispositions that you would look to do, are there certain assets that you are sort of just waiting for the right time to get rid off or maybe some markets that you are looking to reduce in?
Rand Griffin: Well, we have only two remaining buildings in New Jersey. Those are under contract to the existing tenant. And that sale should occur next fall in 2009. Subsequent also, we back in 2005 said, besides exiting Harrisburg in New Jersey we would over time be exiting our ownership at Unisys and so we think that that would be accomplished by the 2010 timeframe and thus included in that number. Beyond that it’s pretty scattering of small buildings that we picked up as part of – our last two major acquisitions with the Hunt Valley and the Nottingham portfolio and that pretty well makes up the getting down to or below the 15%.
Irwin Guzman – Citi: And what was the yield on the properties you bought this quarter?
Roger Waesche: 
 :
Irwin Guzman – Citi: Is that cash?
Roger Waesche: Yes. 
Irwin Guzman – Citi: And just one other question on the development pipeline. I saw that some of the assets that you are planning on delivering in 2010 look like it got pushed out by one quarter, is that just a demand issue or it’s just revaluating construction fund?
Rand Griffin: No. I think it’s just the (inaudible) demand. It’s really – we are trying to in all cases allow at least a year for projection purposes for the lease up, and so in some instances starts were delayed and automatically the full lease up is delayed, but very minor adjustments. And you will do that as you are looking at situations you may accelerate like the M Square building. That’s a huge win and we didn’t really anticipate that that building – the second building would have started until next year. And now we are accelerating that from development, in the next quarter that will move from development into construction and 100% leased, 123,000 square feet. So, we are going to have some movements like that that go on. And that’s why I tried to say in the construction part, I mean people should really look closely at our performance because we did move two buildings out of construction into the lease up and added two more buildings that we’ve now started, but still have the lease up to go, and so it sort of distorts the lease up numbers. And that’s why we try to give some more details. 
Irwin Guzman – Citi: Okay, thank you.
Rand Griffin: Sure. 
Operator: Your next question comes from Bill Crow. You may proceed. 
Bill Crow – Raymond James: 
.: 
Rand Griffin: Hi Bill. 
Bill Crow – Raymond James: Couple of questions here. The current development, I don’t want to call it pipeline, but activity is what $500 million, 2.6 million square feet, when will that peak? Is that a late 2009 peak as you get ready for BRAC and maybe go into some other markets or when do think you see the peak in that? 
Rand Griffin: 
 :
Bill Crow – Raymond James: All right. And my second question is just kind of a constructional buyer been out there what you are seeing as far as cost trends, are you starting to get any breaks from that perspective and what you’re seeing as far as competitors go in your markets?
Rand Griffin: On the competitors, we are not really seeing a lot of new construction. I think it’s a combination of some concerns on their part on the markets. But probably more so the financing environment and just almost daily in our markets you are seeing projects go on hold as a result of lack of financing opportunities. So, we think that that bodes very well for firms like ours that have the financial capacity to proceed and have the core tenant demand. On the construction cost side, things dip down really as a result of the residential slowdown and probably the Olympic slowdown for construction finally being completed in China. But I have to say that in the second quarter we are now seeing those costs start to accelerate partially because of the oil surge and costs and so concretes backup, steels backup, lead times are starting to extend there, carpets come through additional cost increases, as has asphalt which is doubled in the last year and so on. So, there is some pressure there. Fortunately we’ve been able to still pretty much maintain our margins. 
Bill Crow – Raymond James: A final question from me is on the data center space. Kind of what your strategy intent is going forward? How much if you want to grow that is not going to be opportunistic or what are your thoughts there? 
Rand Griffin: While we are continuing to grow it, we feel very fortunate that we are not in a position of having to go out and try and finance $1,500 a square feet facilities. That’s a very challenging situation I think in today’s environment. So, our data, we do expect to still have some additional data buildings starting this year. But they are by and large for specific tenants. The tenants put in the bulk of the additional dollars, maybe we have $280 a foot instead of $240 a foot in the buildings, we get the return on that. But the tenants, which I think are tenant facilities are putting in the bulk of the dollars. So, we are 1.5 million, still seeing some growth there. But’ it’s a small component of our overall growth as part of our next three-year strategy.
Bill Crow – Raymond James: 
 : 
Rand Griffin: Thank you.
Operator: Your next question comes from the line of Rich Anderson. You may proceed. 
Rich Anderson – BMO Capital Markets: Hi, thanks. Good morning everybody.
Rand Griffin: Hi, Rich.
Rich Anderson – BMO Capital Markets: Just what I understand, the core and the core including business parks, you go to 85% by 2010 that includes conventional assets that are mingled with sort of core assets within the business park, is that right? Am I thinking about it right?
Rand Griffin: Right. Well, let’s take Columbia Gateway [ph], Columbia Gateway own 2.4 million square feet, we own about 72% of that park, and 35% of those leases are government and defense. The balance are non-defense. But it is a core park. It’s in a growth quarter and we continue to see excellent growth. So, you have that mixture but the important thing for us is within that defined 85%, you have the three, the government, the defense IT and data along with these core business parks. Now some of them like NBP maybe 100%, the first three core elements, but still also be a park that we – in a growth quarter. That happens to be adjacent to a government demand driver. So, to us, White Marsh is also core as is our Northern Virginia Holdings and so on like that. 
Rich Anderson – BMO Capital Markets: So, if either core or touched by core those business park transactions, okay.
Rand Griffin: And then within the 15%, you might have a non-government building that’s out by itself somewhere and we review that as non-core within the 15%.
Rich Anderson – BMO Capital Markets: Got it. Now the 65% number of the core, including business parks, how much of that would you characterize as buildings with that sort of pictured [ph] architecture associated with it?
Rand Griffin: 
 :
Rich Anderson – BMO Capital Markets: Okay.
Rand Griffin: 
 :
Rich Anderson – BMO Capital Markets: Now you mentioned Nottingham, White Marsh, did that not though take you in the wrong direction from this movement to sort of a core strategy, at least temporarily?
Rand Griffin: 
 :
Rich Anderson – BMO Capital Markets: But it sounds really whole lot of course, like government, defense IT or data centers there, right?
Rand Griffin: But that’s the fourth component. That’s – so you have the three core, you have government, defense IT, data, and then you have the parks. And so to us that would fit the definition of the parks as sort of one of the four core components that would make up the 85%. Now interestingly, we didn’t buy it for that, but we are starting to see some expression of interest from BRAC related tenants at Aberdeen Proving Ground who are little troubled by the lack of services and I know that luster quality schools in Harford County and are gravitating down towards Baltimore County which has more available housing, better schools and has that sort of mixed-use component. And so we do think that we will end up with some component of our square footage expansion at White Marsh being BRAC related less than fits to that core 65% of our strategy. 
Rich Anderson – BMO Capital Markets: Okay. Now in terms of the leasing activity, I know you ran through a lot of numbers there and you said that you are sort of on track with where you want to be or even better than on track, but I mean, when I look at 26% or 27% lease for your under construction portfolio and that’s about flat with last quarter although I know there is some moving parts between the two quarters. I mean, you would agree that the process is much slower in this environment, I don’t know if it’s – you are saying it’s meeting your expectations, but would you agree that leasing is sort of when things are really peeking wasn’t quite as – this is not as quite as impressive activity?
Rand Griffin: 
 :
Rich Anderson – BMO Capital Markets: The 4 million to 13 million is the entire development pipeline or it’s just that under construction?
Rand Griffin: Just under construction currently.
Rich Anderson – BMO Capital Markets: Okay. And then Northern Virginia, obviously you don’t have a whole lot of leasing exposure currently. While you do eventually late 2009, I believe, certainly in 2010, 27% of your leasing will be out of Northern Virginia. Obviously there are some pockets of weakness there. What are you doing today to sort of address that issue that will become an issue, say year-and-a-half down the road from now? 
Roger Waesche: In terms of the ’09 and 2010 Northern Virginia lease maturities fortunately both of them are back-end loaded in the case of ’09, 64% is in the fourth quarter and in the case of 2010, 75% is in the fourth quarter. We are in contact with both tenants that represent the majority of our lease maturities in 2009 and 2010, and I think we feel good about our prospects to maintain them. In both cases we have buildings that are below market rents that were signed a long time ago. And the buildings have a lot investment by the tenant and then they also happen to have very strong amenities. And they are both tenants that we have good long term relationships with. So, I think we feel relatively good. Yes, we will probably be impacted a little bit on the market dynamics, but it terms of maintaining the tenants, I think we feel comfortable.
Rich Anderson – BMO Capital Markets: Great. My last question is, any sort of big picture comment on where cap rate have moved in the world around you.
Rand Griffin: No. We really haven’t seen much movement. If you look at our acquisitions, there is just not a lot on the market that is of interest to us currently. And of the deals that have been getting done are still I think fairly pricey. So, we fully expect the cap rates would move as the capital costs have gone up. But that’s hasn’t occurred yet, and I think it is the combination of that. Sellers are worried about anybody’s ability to finance and so they are putting things on the markets or still are holding out for their own price expectation sort of from last year. And we just haven’t seen that situation stays that you usually see in the cycle like this. And so therefore, we really don’t expecting any acquisitions in the balance of the year, sort of turning more towards a ’09 potentially, we think now.
Rich Anderson – BMO Capital Markets: Okay, great. Thanks very much.
Rand Griffin: Thank you.
Operator: 
. :
Chris Lucas – Robert W. Baird: Good morning, guys. Just I guess a follow-up here Rand just on that last topic. Earlier in the year, you talked about your expectation to see more opportunities to either invest more in the existing markets or potentially into an additional market. Are you suggesting now that maybe that’s going to be more of an ’09 story, just generally?
Rand Griffin: No. I think, it’s related to acquisitions of existing buildings and then we are seeing a few scattered ones obviously with the three acquisitions last quarter. But I think where we are seeing the opportunities and that’s consistent with our comments we’ve made previously is really in the development area where developers are coming to us with entitled projects that are very interesting opportunities. They are very core to us. They fit our strategy exactly and that’s where we think we will be putting our efforts in for the balance of the year rather than sort of existing buildings. Now some may come along but so far we haven’t see that. 
Chris Lucas – Robert W. Baird: Okay. And then just as a follow-up. On the acreage that you acquired in San Antonio, how much FAR does that associated with it?
Rand Griffin: We think it’s probably about 500,000 square feet. 
Chris Lucas – Robert W. Baird: Okay. And given your expectations for that market, what sort of build out would you expect for that time frame, how long you think it will take you to build that 0.5 million feet up?
Rand Griffin: Well, we think that the contractors – the defense contractors need to start to be in occupancy in late 2010 on through say 2012. So, I think that we will start to see some construction activity late next year or early 2010 and I would guess that would be a four, five year build out on the 500,000 feet. 
Chris Lucas – Robert W. Baird: What are your preliminary thoughts? Is that a three or four building build out? 
Rand Griffin: Typically, we are thinking of 125,000 square feet per building for, say four buildings.
Chris Lucas – Robert W. Baird: 
 :
Steve Riffee: 
 :
Chris Lucas – Robert W. Baird: And is it priced of the shorter or a mid-term maturity?
Steve Riffee: It’s LIBOR based.
Chris Lucas – Robert W. Baird: So, it’s on a 30-day or a 180-day?
Steve Riffee: 
 :
Chris Lucas – Robert W. Baird: 30-day. Okay. And then on the service revenue for the quarter and just sort of over the balance of the year are you guys on pace for what your expectations where, and Steve, if you could give us a little more color on what you expect for the second half of the year?
Steve Riffee: We are on pace, and Roger can talk about what’s coming up.
Roger Waesche: 
 :
Chris Lucas – Robert W. Baird: Okay, and then I guess Roger, just on Blue Bell, if you just kind of just go back through that, it sounded like you are more optimistic on your direct lease with Merck but not so much on Unisys. Can you give us some color on what your expectations are for Unisys in terms of how that’s going to play out?
Roger Waesche: Well, to go back through that, one building we think will be taken care of by Merck. One building, Unisys has already vacated. That’s the one that has the $14 net rent. And so we will get that building back July 01 of ’09. We are already out marketing it, we plan to do a core and shell renovations to that building in early ’09 to make sure it’s positioned for leasing when Unisys’ lease matures or we can probably do it sooner. And then in terms of the other building where Unisys is not leasing, that’s a single-story building, the rent is $10 net. And we will be probably breaking that building up into two parts because 400,000 is pretty big for a single-story building and so that will cost us some money. And we will be doing some core and shell renovations here and we think net rents, I think I quoted $16 to $17 before, maybe it’s $15 to $17 net. And we will be marketing that almost immediately for delivery in the second half of ’09. 
Chris Lucas – Robert W. Baird: And the multi-story building there, are you expecting rent renewal or are you not sure at this point?
Roger Waesche: Well, there is the Merck building.
Chris Lucas – Robert W. Baird: Right.
Roger Waesche: 
 :
Chris Lucas – Robert W. Baird: 
 :
Rand Griffin: It’s hard to speculate and it’s really up to the Board. I am obviously a Board member, but we will consider it at that point. I mean we clearly have the financial capacity if you look at the payout ratio, currently they are very healthy. We had a 16 plus percent AFFO growth for the quarter, and that’s really what we’re focused on is the AFFO component of our earnings as relates to the dividend decision. So the meeting is 18th and we would expect to have the announcement right after that effective at the end of September. 
Chris Lucas – Robert W. Baird: Okay. Thanks a lot guys.
Rand Griffin: Thank you.
Operator: Your next question comes from the line of Chris Haley. You may proceed.
Chris Haley – Wachovia Securities: Good morning, Rand and Roger. 
Rand Griffin: Hi, Chris.
Chris Haley – Wachovia Securities: 
 :
Rand Griffin: Well, truly we deal with that in terms of percentage of revenue. And if you look at it, it’s probably on the lower end of per square foot rentals, just through its nature. So, as I said non-core to us it’s really the – our two buildings at Princeton Technology Center in New Jersey. It’s the Unisys Campus of 960,000 feet. And then a few other buildings. So, it’s probably, when you are all said and done, 2 million square feet at the most.
Chris Haley – Wachovia Securities: And related to that, (inaudible) discussion in the past or at least I can recall from our notes that you’ve looked at partnerships, ventures in the past either in a fund structure or programmatic fund structure or a drop down structure. Is there any update on that and have you thought about that as a way to monetize or exhibit the value in your government, defense assets?
Rand Griffin: We haven’t, Chris, from that standpoint, I mean, obviously we have some joint ventures, and are looking at a few others. But typically those relate to the land where the land owner is looking for us to be the partner in the equity there or where an individual may have a very specific expertise, but if you are sitting there trying to say let’s monetize our core government activities, I think when we had the meetings with the Board and we were rolling out our and refining our strategy what differentiated us from other REITs, and I think that’s particularly important right now in today’s environment, is that we are not a transactional company, we are not dependent upon the promotes and the generation of earnings that relates to contributing properties and then trying to run on the fees and look at the sales as a way to boost earnings. We can produce our 10% plus earnings on a consistent basis during our core strategy of paying attention to our tenants, growing with the tenants, helping the tenants be successful, and continuing to develop. And so we don’t see ourselves as needing to go in that direction and we are fortunate I think to be able to have that sustained growth without having to go into kind of an asset management monetizing strategy. 
Chris Haley – Wachovia Securities: The structure of those leases does provide a little bit of up, at that term you still take the risk of re-tenanting and etcetera, maximizing the value though upon development completion stabilization would appear to me to be a way to minimize the equity return – probably the equity need that may not be necessary this year, but be necessary down the future – I know in the future, possibly of what we think in 2009. All of that would go to boost ROE, boost returns and I think that would be a very well thought-out strategy to make your equity less scarce over –.
Rand Griffin: It’s interesting though that the specific tenants that makeup that core do not cyclically require a lot of CapEx as we go to renewals. In fact if you look at your own chart, year after year we are the lowest on the CapEx of all of the office companies, and so we think that from a capital expenditures – so we think that it is a sustainable strategy. We don’t needed it – certainly we can go out and perform that and probably get some more credit for, but I think that it puts at risk those relationships over time and creates a potential complex of interest situation as (inaudible) and so on. And currently, we just don’t need to do that and yet we are still at the top end of the sector. Certainly one of the top two or three on FFO growth and probably top on AFFO growth, and the strategy is holding well. 
Chris Haley – Wachovia Securities: All right. I appreciate that comment, and I would agree with you this, currently statistically, your concession ratios are lower than many of your suburban peers. And we think that as well as due to a high amount of your development activity over the last several years that has been under long-term lease agreement. Therefore, requiring less turnover capital. That has shifted a little bit to include more multi-tenant projects in your pipeline today than where it was three to four years ago. I’m just trying to think of a long-term strategy to minimize equity issuance to boost the ROE of your company, and therefore regain a premium valuation. 
Rand Griffin: 
 :
 – :
Chris Haley – Wachovia Securities: I appreciate that. And if I could just ask two very brief questions. You had mentioned Rand, that your pre-leasing levels on your 2008 starts if I understood correctly were 60% or pre-leasing and/or commitment level for – 
Rand Griffin: 
 :
Chris Haley – Wachovia Securities: Okay. Thank you. And then Roger and Steve, how do you expect to treat the potential re-tenanting of the Unisys Campus, or you going to (inaudible) as a redevelopment assets or that be – how that will impact your income statement?
Roger Waesche: 
 :
 :
Chris Haley – Wachovia Securities: Okay. Thank you very much.
Rand Griffin: Thank you.
Operator: 
 :
Michael Knott – Green Street Advisors: 
 :
 :
Rand Griffin: 32.
Michael Knott – Green Street Advisors: And then also you talked a little about development cost. Can you just talk about whether your deals on development are still holding perimeter around 10% in terms of what you anticipate?
Rand Griffin: I think they have – it’s hard to know yet Michael in terms of those because we are just in the process of bidding some of those buildings. But it will be around the 10% range, might maybe slightly under, maybe it’s under a little bit of pressure for 10 or 20 basis points. But I still think we are pretty comfortable with it. And some are a little lower in some markets and others are significantly above 10%. So, but we are comfortable with what we’ve been accomplishing. It’s still above our peer group. 
Michael Knott – Green Street Advisors: Okay, and then there had been prior discussions about land sales, is that right, is that something that you are still thinking about or it’s like sort of not on the front burner now?
Rand Griffin: We have a few that over time will occur, I mean there’s nothing much on the radar screen I would say for the balance of the year. We have a fair amount of land leases related to some of our multi-use developments that will be going on at White Marsh and as Fort Ritchie goes through its next phase of development we will start to see some land sales on a very consistent basis there as we start to do the lot sales for the residential. But you know it’s a fraction of – if there is that kind of activity, it’s a fraction of our overall picture. 
Michael Knott – Green Street Advisors: Okay, and then I think in prior calls you had mentioned the possibility of seeing some distress, potentially investment type situations in some of your specific market. Have you – is that something that’s continuing to develop. 
Rand Griffin: As I said previously, we are not really seeing that on existing product. I think that sellers are either worried about the ability of the people to finance or they are just trying to hold out until the investment climate strengthens. Where we are seeing the opportunities – I wouldn’t call them distress, it’s really even more in the development where people are looking to firms like ourselves with strong balance sheets and with expertise to step in and either buy their projects or joint venture them. And so there are some very interesting opportunities there and we should have some further discussions of that in the next couple of quarters.
Michael Knott – Green Street Advisors: And then lastly, are you still looking at underwriting new markets, and investigating new geographic region?
Rand Griffin: Some of those development opportunities are in fact in new markets it sort of dovetails with that strategy. I think we had held off on that because we had absorbed Colorado Springs, and San Antonio we think that’s comfortably on track as you see from our discussions today and we think that we comfortably absorbed the Nottingham acquisition in early ’07. So, as a company we are ready to take that on. We’ve got the systems and the personnel and it’s just then matching up the opportunities. We are now seeing those opportunities come for us and so stay tuned.
Michael Knott – Green Street Advisors: 
 :
Rand Griffin: 
 :
 :
Michael Knott – Green Street Advisors: Thank you. 
Rand Griffin: Okay.
Operator: Your next question comes from Wilkes Graham. You may proceed.
Wilkes Graham – Friedman, Billings, Ramsey: Hi guys. Well, Rand, as I’m looking at Page 34, the land inventory and thinking about where the development opportunities will come from. You just talked about, maybe there might be a couple of new markets, but if it is $1 billion and maybe that’s 5 million square feet of starts. Obviously big slice of that will come at NBP and at Arundel, where else should I think, I mean I guess what I am trying to get to is, I think part of the negative possession that some people have with White Marsh is that the development opportunities that are there maybe follow down the road. But I mean, how much of that 1.5 million square feet or so that White Marsh kind of fits into the 2010 plan. 
Rand Griffin: 
. :
Wilkes Graham – Friedman, Billings, Ramsey: That’s very helpful. Thank you.
Rand Griffin: Thank you.
Operator: 
 :
 :
Rand Griffin: Thank you. This is our longest call on record. So, we are in good shape for the year and we thank you for joining us today as always we appreciate your participation and support and we are available to answer any other questions offline that you might have. Thank you and have a great everyone.